Operator: Ladies and gentlemen, thank you for standing by. Good morning. My name is Donna and I will be your conference operator today. At this time, I would like to welcome everyone to Volta, Inc.'s fourth quarter and full-year 2021 earnings conference call and webcast. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded.  I will now turn the call over to Katherine Bailon, Volta's Vice President, Investor Relations. Katherine, please go ahead.
Katherine Bailon: Good morning, and thank you for joining us on today's conference call to discuss Volta's fourth quarter and fiscal 2021 financial results. This call is being broadcast over the web and can be accessed on the Investors section of our website at investors.voltacharging.com  With me from Volta on today's call is Brandt Hastings, Interim CEO and Chief Revenue Officer; Francois Chadwick, Chief Financial Officer; and Drew Bennett, Executive Vice President, Network Operations.  We would like to remind you that, during this conference call, management will be making forward-looking statements, including statements regard meeting our expectations related to financial guidance, outlook for the sector and company and our expected investment and growth initiatives. Please note, these forward-looking statements are based on current expectations and assumptions, which are subject to risks and uncertainties. These statements reflect the company's views only as of today, and should not be relied upon as representative of views as of any subsequent date. And Volta undertakes no obligation to revise or publicly release the results of any revision to these forward-looking statements in light of new information or future events.  These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For further discussion of the material risks and other important factors that could affect our financial results, please refer to the company's filings with the SEC, including its most recent annual report on Form 10-K filed on April 15, 2022.  In addition, during today's call, the company will discuss non-GAAP financial measures, which they believe are useful as supplemental measures of Volta's performance. These non-GAAP measures should be considered in addition to, and not as a substitute for, or in isolation from, GAAP results. You will find additional disclosures regarding the non-GAAP financial measures discussed on today's call in Volta's press release issued this past Friday and its filings with the SEC, each of which is posted on the Volta Charging website.  The webcast of this call will also be available on the Investor Relations section of the company's website.  With that, I will turn the call over to Francois.
Francois Chadwick: Thanks, Katherine, and thank you everyone for joining us. Volta arguably addresses one of the fastest growing and most exciting sectors, electric vehicle charging. The company's high impact, large format digital screens located near the entrances of popular commercial properties and retail locations simultaneously serve as the demand pole for EV adoption, attract customers to sites, and allow brands to reach shoppers seconds before they enter a store to make a purchase. This build out of Volta's media network is the company's top priority. 2021 was a transformative year with tremendous growth for both Volta and the EV industry, heralded by rapid evolution as the shift to EVs solidified and public and private sector support accelerated.  We're all quite familiar with the significant time involved in EV charging. What is new and noteworthy is the increase in momentum of the shift to EVs, evident by recent OEM actions. As gas prices surged in March, online searches for electric cars in the United States hit their highest recorded levels since tracking began in January 2004, according to Google Trends.  Also, during 2021, we saw a 102% year-over-year growth in EV units sold in the U.S. market per Bloomberg New Energy Finance. With this in mind, at Volta, we've seen an increase in demand for DC fast charging stations. And that is what is driving our decision to lean into the DC fast first strategy. We will talk more about that shortly.  Take note, these metrics are remarkable, exciting and significant industry bellwethers and Volta is poised to benefit with a renewed focus on execution and site expansion via our land and expand strategy, furthering the competitive moat for Volta.  Before we take a deeper dive into the successful year, I'd like to address the recently announced management transition. On March 28, 2022, Volta announced that the company's Chief Executive Officer, Scott Mercer; and the company's President, Christopher Wendel, agreed to the resignation of each as an officer and employee of the company. Mr. Wendel's resignation was effective immediately, while Mr. Mercer continued for a transition period, ending on the filing of the company's annual report on Form 10-K for the fiscal year ended December 31, 2021 as filed on Friday 15th of April 2022. Mr. Mercer will serve as an independent adviser to the company's Board of Directors through March 31, 2023.  The Board appointed Brandt Hastings as the Interim Chief Executive Officer in addition to his current position as the company's Chief Revenue Officer, effective as of Mr. Mercer's resignation. The Board has also formed the CEO search committee in order to identify a permanent replacement Chief Executive Officer.  Now, let me pass it to Drew Bennett, our EVP of Operations, to discuss one of our major successes of the year. Drew?
Drew Bennett : Thanks, Francois. On February 14, this year, we announced a really significant expansion of our Walgreens partnership. Our announced expansion includes an additional 1,000 DC fast charging stalls at 500 U.S.-based Walgreens locations over the next 12 to 18 months.  Walgreens is a perfect match for faster forms of Volta charging, given the average time a Walgreens shopper typically spends in store. As you can imagine, that average time at Walgreens is in the 15 to 20-minute timeframe. With a DC fast charge, that can give a driver a very meaningful charge. This charging interaction is another touch point for the Walgreens customer, providing an opportunity to increase sales during the store visit in a number of ways, a win for all parties, Walgreens, the driver and Volta.  We began our partnership with Walgreens in 2019 with 50 stores. That initial partnership has grown into a relationship, where, together, we looked at the market and decided to take the next step and 10x our ambitions, resulting in the agreement for an additional 1,000 DC fast charger installed at 500 locations.  I will now pass to Brandt Hastings, our Interim CEO and CRO, to discuss further our continued successes. Brandt?
Brandt Hastings : Thanks, Drew, and it's great to be with you all today. I'd like to add, Walgreens is also a good example of our land and expand site acquisition strategy. Our goal is to sign as many high value partners as possible and then grow our footprint over time in a capital efficient manner that provides consistently high utilization for our site partners.  And with that, as we look towards the rest of the year and beyond, we expect to see the market demand for DC fast charging continue to increase and we plan to deliver accordingly.  Our partners keep coming back to us because they see the impact that Volta Charging has on their properties over time. Ahold Delhaize USA, the largest grocery retailer group on the East Coast, which includes the Stop & Shop, Food Lion, Giant Foods, Giant Martin's and Hannaford brands, has been a wonderful partner to grow with. Since the initial work began in November of 2019, Volta's relationship with Ahold Delhaize USA has expanded to deployments at 115 stores in four of the five banners, with plans for the fifth banner underway. In addition, Ahold Delhaize USA's media arm, Peapod Digital Labs, has also begun selling our media inventory as a channel partner and value-added reseller. This relationship represents how Volta provides retail partners with a suite of solutions to help drive impact.  As mentioned, the value of a site is not only in the initial footprint, but also in the growth in stalls, energy delivery and purchasing influence that we can drive alongside the shift to electric mobility.  At Volta, we are focused on driving commercial impact for our partners. Third-party studies have demonstrated that the presence of Volta stations can create significant shifts in consumer spend.  As examples of how Volta drives impact for our partners, I want to comment on three studies of note, each with greater than 300 participants, which garnered the following results.  The first study done for a banking provider showed awareness of an advertised credit card increased to 55% as opposed to 35% from the control group. A second study for a grocery store site partner found 67% of respondents stated greater favorability to the brand because of the charging amenity and 48% would choose that store over another because of the charging amenity. A third study done by a major pharmacy showed 68% of respondents had greater favorability to their brand because of the charging amenity and 63% would choose that store over another because of the charging amenity. Not surprisingly, this particular third-party study result led to this brand further expanding their relationship with Volta. Volta is the only charging company and media company that offers brands this compelling opportunity.  Now, I'd like to pass it back over to Francois.
Francois Chadwick : Thanks, Brent. Moving to the policy tailwinds that we are seeing, The Infrastructure Investment & Jobs Act, IIJA, wants a historic level of investment in electrifying transportation, and in particular in easy charging infrastructure.  Recent data from Bloomberg New Energy Finance indicates the US will need to significantly accelerate investment in charging infrastructure, and we are seeing state and federal funding initiatives already beginning to emerge. IIJA funds for EV charging total $7.5 billion, which will be deployed later this year and into 2023 and beyond, accelerating installation momentum.  While federal guidelines for these funds are still being developed, Volta expects that a significant portion of our go-to-market strategy fits the definition of where the funding dollars will be allocated. Volta is actively working with federal government and state governments to ensure that we are well placed to benefit from such monies.  In particular, Volta is also uniquely positioned to benefit from the portions of the $7.5 billion allocated to EV infrastructure planning and to community grants. Planning entities such as utilities and state departments of transportation and department of energies must submit plans to the federal government by August 2020 that detail effective and efficient plans that make adequate consideration for access to public through EV charging, especially in historically underserved communities.  Volta's proven AI powered market leading analytics tool, PredictEV, is already being used by some of the largest utilities in the United States, along with policymakers, analysts and consultants, to ensure utilities and public entities are making cost efficient, impactful and just decisions about where to deploy charging. Thus far, Volta has amassed a significant reference list of utility customers, such as Southern California Edison, DTE Energy and Southern Company, which encompasses Mississippi Power, Georgia Power and Alabama Power.  Volta's intelligent network planning is second to none in the industry, and ensures that taxpayers spend is deployed as efficiently as possible. In fact, the State of Alabama used PredictEV to build and deliver an EV infrastructure plan earlier this year. In addition, Volta just announced a new partnership with Southern Company, expanding our software and analytics collaboration to PredictEV Fleet, a new tool in the growing PredictEV. That enabled utilities to deliver to their fleet customers a tool for electrification planning at scale.  Turning to Volta's recent international expansion into Europe. We are encouraged and excited by the initial reception in key EU markets such as Austria, Germany, France, and Switzerland. The European market is roughly five-plus years ahead of the US and Volta is positioned to provide European advertisers a unique opportunity to promote their brands across continents.  In Europe, since December, we have signed 25 media stalls with 11 partners, including sites from German cinema company, Cineplex Group; sporting goods chain, Decathlon in Switzerland; as well as European car service provider, Euromaster; and the Hibis Hotel Group [ph] in France.  Importantly, these initial deals provide critical credentials, enabling Volta to address larger tenders on the way for which we already see very positive feedback.  Before turning to our Q4 and full-year results, let me explain the two main KPIs we track as it relates to stall installation. These are stalls turned on and stall signings in our development pipeline.  Now turning to our q4 financials and full-year results. For the fourth quarter, we delivered within our outlook range for revenue, installations and signings. New stall signings in our construction queue exceeded expectations by 22%. Volta's Q4 revenue grew 45% year-over-year to $12.1 million.  Total FY 2021 revenue grew 66% year-over-year to $32.3 million. Q4 behavior and commerce revenue, which is our media and advertising business, grew 16% quarter-over-quarter to $8.6 million and 124% year-over-year. And furthermore, behavior and commerce revenue for the full year was $26 million, up 224% from 2020. We ended the year with an install base of 719 sites, up 55% year-over-year, and 2,330 stalls, up 44% year-over-year.  For the full-year 2021, we signed 635 sites, representing 1,718 stalls. We exited the year with 567 sites and 1,088 stores in our signed construction pipeline. Based on these signings, we anticipate we will effectively double our network of stalls, and this was before we announced our deal with Walgreens in February of 2022. Our average revenue per year in stall in 2021 was just under $14,000.  During the fourth quarter, new brands to Volta's media advertising platform included Procter and Gamble, Oakley and Volvo. Brands that ran additional campaigns on Volta media networks during the fourth quarter included JPMorgan Chase, Sephora, Coca Cola, and Amazon.  Cost of services in the fourth quarter was $7.9 million compared to $5.8 million in the prior-year period, primarily due to an increased station rent driven by a larger aggregate number of site leases, additional advertising and media costs, and a rising network cost due to an increased charge for station data plans.  Our gross margin for the quarter was 28%. For the full-year 2021, gross margin was 24%.  SG&A expenses, excluding stock-based compensation and one-time expenses, were $32.2 million for the fourth quarter, $87.1 million for the year as compared to $13.1 million and $38.8 million respectively, which also excluded stock-based compensation and one-time expenses in the prior-year period. The increase year-over-year was due principally to increasing headcount and related costs and public company compliance costs. Including stock-based compensation and one-time expenses, SG&A was $128.8 million for the fourth quarter, $262.6 million for the year compared to $17.6 million and $44.1 million for the prior-year period.  Adjusted EBITDA was $30.7 million loss for the fourth quarter of 2021 as compared to $12.9 million loss in the fourth quarter of 2020.  Net loss was $121.1 million for the fourth quarter compared to a loss of $31.5 million for the prior-year period.  The company had cash and marketable securities balance of $262 million as of December 31, 2021. As we have mentioned in the past, we are actively pursuing non-dilutive capital to fund the next round of CapEx to meet the increasing and enormous demand signals we see in the marketplace from our customers to place stalls on new sites, place more stalls on our current sites, build out our media network and drive a greater service to the EV drivers, the site partners and our advertising clients. Volta made significant process to build out key functions in the organization as we rapidly scale the business. To that end, we have increased in headcount in 2021 by 210 persons, making key hires across Europe, our data science and engineering team, supply chain management, finance, sales and operations, and in making sure and ensuring that we have the right resources in place to execute on our strategic initiatives.  As a result of the separation agreement with our founders, Mr. Wendel forfeited 3,492,972 restricted stock units and Mr. Mercer forfeited 4,923,695 restricted stock units and we settled 10.5 million Class B restricted stock units held by Mr. Wendel and Mr. Mercer. Further, each share of Class B common stock held by our founders and any equity award or convertible securities denominated in shares of Class B common stock held by the executives will be converted into an equal number of shares of Class A common stock or securities convertible into Class A common stock. The weighted average shares outstanding for the fourth quarter were 160.4 million. Turning to our outlook for 2022. Based on current market conditions and input from our customers and team, we are reiterating our outlook for 2022 revenue to be in the range of $70 million to $80 million.  Regarding quarterly revenue, we have provided more context on the seasonality of our revenue. In the media industry, advertising revenue tends to build as we move through the year and the first quarter historically is the lightest as most media budgets ramp towards the fourth quarter. Our business' revenue generation will likely align in part with the media industry's cadence of advertising spend. And as a result, we expect 2022 revenue to be greater in the second half of the year, as a reflection of the growing scale of our Volta media network and accompanying seasonal media revenue patterns.  Total incremental connected stalls will be in the range of 1,700 to 2,000.  In addition, the company is now guiding to total incremental connected sites to be in the range of 650 to 750 sites. For the first quarter ending March 31, 2022, we are reiterating our prior outlook for first quarter revenue to be in the range of $8 million to $8.5 million.  I would now like to wrap up and share the multitude of reasons we remain excited about the future for Volta. The underlying shift to electrification provides a meaningful long-term tailwind for Volta.  Volta has one of the greatest growth for stall networks, a growing customer base, and a world class operating team, enormous market opportunity and the right product to meet that opportunity.  Proof points to this include Volta's market leadership in revenue per stall in the US, our market leading utilization in the United States, our traction building with marquee customers such as Walgreens, and we still have untapped revenue streams we expect to monetize over time, such as charge for charging that should further increase our revenue per stall and utilization.  All of this gives us confidence that we are at the cusp of a very exciting time in the history of our company. We aim to meet this exciting challenge with execution excellence, and we'll be turning our attention towards making Volta the very best that it can be in this regard.  Before I turn the call over to the operator for Q&A, we would ask you to keep your questions focused on our financial results and outlook. At this time, we are not in a position to provide additional color on changes to our management team beyond what has already been disclosed.  With that, I would now like to open up the line for Q&A. I'll be directing all questions. Thank you.
Operator: [Operator Instructions]. Our first question today is coming from Mark Delaney of Goldman Sachs.
Mark Delaney: First question was for you, Brandt. I was hoping you could elaborate a bit more on your priorities and what the Board has asked you to focus on in your role as interim CEO?
Francois Chadwick: This is Francois. Thanks for the question. I'll pass to Brandt in a second. But I would say I think our priorities remain very much the same. It's all about hitting the revenue guidance, which we've mentioned the guidance for the year is $70 million to $80 million, and hitting the site locations and the stall installation cadence, we mentioned 1,700 to 2,000 stalls for 2022. I think that's the real focus.  And I'll pass it over to Brandt to add any additional color.
Brandt Hastings: Thanks, Francois. I appreciate it. And thank you, Mark, for your question. Good morning. It's great to be with you all today. I'd really love to underscore Francois' comments around, we are extremely focused on executing our business plan at Volta. And as we stated, including on this call, that falls into two very important categories. The first is revenue in that range of $70 million to $80 million in 2022. And second is a focus on continuing to put stalls in the ground, with incremental connected stalls in the range of 1,700 to 2,000 stalls in 2022. I really appreciate the question. Thanks so much, Mark. I’m going to turn it back over to the operator.
Mark Delaney: Okay. Just for my follow-up question and I'll turn it over to the other questioners in the queue. Francois, one for you on expenses this year. Can you help us think about expenses, both in terms of operating expenses and CapEx?
Francois Chadwick: Thanks, again, Mark. So I think when you look at our operating expenses, one of the things you've got to do as you look at 2021 is there was a large amount contained in SG&A as it related to non-cash stock comp expense. That was a significant figure.  If you look at, I did mention that the adjusted SG&A, when you excluded all of that stock-based comp and the one-time expenses was $32.2 million for the fourth quarter and $87.1 million for the year. As I mentioned, those adjustments, a large adjustment for non-cash stock-based compensation, as well as some of the one-off costs as it relates to actually going through the SPAC, the merger. And on top of that, as we've mentioned, we've been growing the company 210 additional people in sort of key areas as we continue to grow and expand. As it relates to CapEx, firstly, I want to mention that we have a very robust CapEx committee that looks at every single project that we may have coming in the pipeline. As you know, we look to make sure that we position all of our stores in the most highly visible locations in front of the stores. We also spend a lot of time looking at the needs of the site owner. And as I mentioned in my earlier prepared remarks, this sort of new demand for DC fast, DC first. So as we look at CapEx, as we look at where – we've looked at in year to the best return on that CapEx spend, we obviously run it through our internal calculations.
Mark Delaney: Do you have any specific figures you're able to share in terms of guidance for SG&A with and without stock-based comp and for CapEx this year?
Francois Chadwick: No, we've not provided that guidance yet, Mark.
Operator: Thank you. Our next question is coming from Pavel Molchanov of Raymond James.
Pavel Molchanov: So happy to see you guys kind of leaning into the European opportunity. Of your incremental new build this year, can you talk about the percentage or share that Europe will represent within that?
Francois Chadwick: Yes. Thanks for that, Pavel. I will tell you some. I'll just start with a broader macro picture of Europe, if you don't mind. We launched in Europe earlier in 2021 and we built out a team. We have folks located in Berlin, in Germany, in Paris, in France. We've built that team out now. There is approximately 20 folks between the two offices. And we find that there's an incredible amount of demand that's coming in the door from site partners and also from advertising clients. And the offer that we're putting out, our offer of the stalls in the prime locations with the advertising and the media is resonating very, very well. We've mentioned a couple of success stories with respect to sort of Cinemark. Site locations, we have Mercedes actually on the screens as well. So, as it relates to our overall percentage, we've not disclosed that so far, Pavel, but I can say that it is looking to be a very attractive percentage overall.
Pavel Molchanov: Also on the international front, you had, I think at one point, plans to enter the Canadian market. Can we get an update on that?
Francois Chadwick: I think the way I'd like to address that, because it is a good question, it's a question that I address every day. I'd also sort of tie this back to the question that Mark Delaney from Goldman asked. This is a CapEx-type question. As we look at deploying our capital to be able to attract the greatest return, the team does look at opportunities in different locations. Canada would seem to be a very easy option to consider. And it is one of the things we are looking at and we continue to look at, as well as I would say, Pavel, as well as other countries in potentially Europe and other places as well. All of it goes through our capital infrastructure committee. All of it is measured up against all the opportunities we're seeing. So, I'd say, yes, we're looking at all these opportunities. And, yes, we make sure that we are running through our CapEx committee to make sure that we get the best return, the best bang for our buck.
Pavel Molchanov: Maybe just zooming in, finally, on your revenue guidance. You're not breaking out, I realize, the individual line items, but do you anticipate that electricity sales will be rising as a portion of your revenue mix over time?
Francois Chadwick: Yep. Pavel, I think we've always mentioned that the back half of this year, 2022, is when we are looking to turn on and colloquially call it the charge for charging. We anticipate that that is still in the plan. And so, as a percentage of the overall revenue pie, yes, there will be some incremental increases we run towards the back end of the year and into 2023 and beyond. I think the key thing to remember here is – I'll go back to a couple of my prepared comments here, Pavel. If you just did simple math, we're running an average revenue per stall based on year-end of $14,000 of revenue per stall. And that is, we believe, one of the highest in the industry. And if you then think about the ability to actually turn on that charge for charge, that's just the layer cake that allows us to really put ourselves in a key position – phenomenal position, actually. And, definitely, as we can turn more and more of that on as we roll beyond into late 2022 and into 2023, I think this is a key winning proposition. 
Operator: Our next question is coming from Andres Sheppard of Cantor Fitzgerald. 
Andres Sheppard: I just had a quick question. In the past, you guided that you expect the charging revenue to account for about 45% by 2025. I get the sense from this call that the emphasis on DCFC now is a lot stronger. So, I'm wondering, is that guidance still unchanged? Or is there an opportunity to maybe even accelerate that? 
Francois Chadwick: I think the thing I would say is, yes, is we're looking at changing – not changing, it's sort of adopting and then moving towards the market demand that we're seeing. With greater EV adoption, more and more cars coming onto the road, we're starting to notice this increase in the demand for DC fast.  One thing I do want to point out, though, is we're always going to manage to the best result for the site partner. We're always going to make sure that the mix of level two AC charging and DC charging delivers what the site partner is looking for as well as, of course, the driver. So, we are adapting slightly to this DC fast market. We've seen more and more demand for that. And we will start to see that difference in the mix in the deployment and delivery of electrons.  Also, of course, that's going to have a potential increase in impact on the ability to claim the carbon credits. And as more and more states think about that, that's going to be a driving force for us in our revenue stack. As it relates to 2025, we have not given any recent guidance, and that's something we will look to do as we progress through the years.
Andres Sheppard: Maybe one quick follow-up. In regards to the $5 billion that will be allocated to EV charging as a result of the Infrastructure Act, the submission to the state plans, I think you alluded to this, is at the end of August and then the plans, I think, will be confirmed by the end of September. So, I'm just wondering any sense of what you might receive from the Infrastructure Act? And similarly, are you expecting to use some of that to fund the CapEx?
Francois Chadwick: I think, firstly, just to point out that there's actually $7.5 billion in there, which $5 billion goes – so there's two parts to that. There's the part, of course, we mentioned as well there about the planning – the planning tool, in that the ability for the federal and especially the state and state departments of energy, the state departments of transportation, to be able to use that money in an efficient way, not just efficient, but they also want it to be used in an equitable way. So, that means deploying capital in a location where there may be a need to have the EV infrastructure. But it maybe not giving that same sort of return in the same time period that companies may be looking for. So, we're definitely talking to the state and the federal about the use of our PredictEV planning tool as that relates to the deployment of that capital.  As it actually relates to the larger deployment of all that monies, there's still a lot to be to be decided and still a lot to be discussed. We're at the table, we're having those discussions, our team is having those discussions. There is a desire to get that money out as quickly as possible. But I think, Andres, your timeline is correct. We're going to start to see the planning wrap up towards the end of 2022 and the actual deployment and the money flowing late into 2022 and into 2023. I think, as I mentioned, of course, using our tool, we're looking to make sure that money is deployed, that capital is deployed equitably into, once again, underserved communities.
Operator: Our next question is coming from Matt Somerville of D.A. Davidson.
Matt Somerville: A couple of questions. In the past, you talked about utilization rates across the Volta network. I was wondering if you could comment on how that looked in the fourth quarter, and maybe early trends thus far in 2022 now that we're midway through April.
Francois Chadwick: This is a question – this question as it relates to utilization, this is something we map and we track very, very closely, of course, because it does actually help us decide where to put additional stalls. When we're talking to site partners, we're able to give them that data, those metrics, and that then opens up the conversation to the increased footprint need for stalls. What I can tell you with respect to our utilization in the fourth quarter was very similar to what we saw in the third quarter. So very, very steady there.  As we move into subsequent quarters, what we expect to see is something very similar. There may be a slight change when we start to put the DCs into the ground, the DC fast stations and stalls in the ground. That's something that we're going to monitor very carefully. But as it sits right now, our utilization across the fourth quarter was very similar throughout the quarter.
Matt Somerville: As a follow-up, the prior management team had talked about permitting being a material bottleneck around new installations. First, I'm wondering, is that still is the case for Volta? And second, to the extent you're incurring supply chain logistical related challenges, if you could comment on that, to the extent – I guess I'm wondering what sort of level of supply chain bottlenecks have you sort of incorporated into your 1,700 to 2,000 outlook? At the end of the day, Francois, I'm trying to get a sense for how derisked or not this outlook is?
Francois Chadwick: Matt, I think there's really there's sort of two parts to that question. One was around permits, the other one around supply chain. And so, let me take the permits question first. I think what we're seeing is, it's similar to what we were seeing in the past in certain places, in certain locations where the sort of the decarbonization and electrification has been advancing over time, though getting those permits is just an easier and a quicker process. As we go to locations where installing new stores or where a state or a city or a municipality, it doesn't have any stalls to date. That takes a little bit longer. I would say, no different than what we've seen in the past. We've very same. We're facing the same issues the whole industry is facing. And we have continued to build out our permitting team, so that we are as efficient and effective as possible to make sure that permitting doesn't slow us down.  With respect to the supply chain question, firstly, I have mentioned this before, I'll mention it again. We have built out internally within Volta a world class supply chain management team. We've had them on the books. They're here at the company for a number of months now. So they've fully settled in. And we have – working through our supply chain management team, working through our supply partners, we've got incredibly good relationships where we have already planned into what we're expecting to have to do into 2022 and actually beyond as well. So, we've gone through and looked at every potential component that goes into our stalls. And there are a couple of items in the stalls that do take a long time and believe that there's a long lead time to get those specific items. We have already planned into that. In a couple of instances, from very – sort of very small minor parts, we've actually pre-bought those parts to make sure that we have access to them and that those don't slow down our supply chain, and therefore, don't impact the guidance that we're giving. So, we feel comfortable that the guidance, we've already pre-planned into and our current understanding of where things stand and our current understanding of supply chain makes me feel comfortable we will hit our guidance on the stalls.
Operator: Our next question is coming from Craig Irwin of ROTH Capital. 
Craig Irwin: In your prepared remarks, Francois, you talked a little bit about capital access, future need for financing. Can you maybe give us a little bit more color around that and maybe talk specifically to the company's historic use of sale leaseback accounting – or sale leaseback transactions to fund its station growth, its network growth? And now that you're a public company, I would assume the economics there probably swing a little bit in your direction. Can you maybe talk about approximate costs and how this would potentially figure out for you?
Francois Chadwick: Just repeating an item from my prepared remarks earlier, yes, we are definitely in deep discussions with providers of non-dilutive capital, non-dilutive financing. Those are well on the way and we expect to be able to say more in the next coming quarter or two. As it relates to overall financing and the sale and leaseback, yes, those are some of the deals that we've done in the past. We're actually looking more and more at the deals where we are the owner operator of those stalls. That is the way that we're sort of facing forward into the marketplace right now. However, as we do look at having the sort of the larger portfolios of the customer base, the dialog around the sort of the financing of the portfolio is something that is happening more and more, it's something that a lot of potential capital providers are actually interested in discussing with us.
Craig Irwin: My second question, in the context of your Walgreens announcement, very nice announcement, big chunky, provides multi-year visibility on network growth. Your guidance dramatically below your bankers put together for the SPAC IPO, more than 2,000 units for the year-end target for 2022 below. And the stock that's trading where we are, but it kind of suggests that maybe we were expecting a few contracts like Walgreens and you're pointing for permits. So, can you maybe give us a little bit more color or make some commentary around similar potential orders out there, similar contracts? Are there other things other than permits that are causing you to have such a significant shortfall in station growth? What else should we understand? 
Francois Chadwick: I think it's a good question. It's one I address every day. Let me break your question up a little bit because I think there's two or three parts to that question that should be addressed.  Firstly, yes, Walgreens was and is a very big win for the company. It's a sizable contract that is – one that we feel very, very proud about. As it relates to other potential customer contracts, obviously, I can't disclose anything in particular, but I can tell you that we have a number of serious ongoing discussions. And as we go through the year, we will be giving you more details on those other wins that will be coming through the pipeline as well. Those are wins that will obviously start to have installed cadence towards the latter half of 2022 and into 2023. You mentioned permits. I don't want anybody to feel that the permits are the things that slow things down. As I mentioned before, in states where – in places and locations where there is already a permitting process, we're moving through those things very quickly. Some of the places that don't have a sort of a fully laid out process, that's where it's taking some additional time. I would actually point out as well that, in Europe, which is five years ahead of us in the sort of EV adoption game, getting the permits out there is a much quicker and much swifter process we've found to date.  As it relates to the actual stall installs, I just want to point to once again our guidance and that I feel very robust, I feel very comfortable, I feel very confident having been at the company now for a year, having built out a strong financial team and built out many other teams in the supply chain management area and in our sales teams both for the stalls – our stalls sales team and our media sales team that the focus is on the guidance that I've just given.
Craig Irwin: Just to restate my question, can you give us some more complete understanding of why the install rates are expected to be so much lower than the guidance that was given at the time of your SPAC merger. I think a lot of investors feel that understanding is essential to move beyond the volatility in your stock where there's been quite dramatic losses for equity investors. 
Francois Chadwick: Craig, I understand the question. I'm just going to come back and repeat to the guidance that I'm giving for the year. 
Operator: Our next question is coming from Vikram Bagri of Needham & Company. 
Vikram Bagri: The first question I have is what kind of signposts or indicators are you looking for to initiate what you call charge for charge? It sounds like you're probably waiting for installation of more DCFCs on your network. And on the same note, how do you plan to proceed with this charge for charge strategy? Would you run pilots in the US first, reduce the two-hour free limit, initially charge the customer below market rates or would you only charge for DCFCs initially? I was just trying to understand what signposts you're looking for to initiate this charge for charge and what signposts we should be looking for that this is happening in the back half of 2022?  That is actually a great question. I really enjoy this question. It's something we deal with day in and day out. Obviously, coming from my background, the various ways of initiating a pricing conversation has multiple angles to it. And actually, Vikram, you almost address your first part of the question with your second question. We have started beta testing on our DC, some of our DC fast stations that are installed and in the ground. And, obviously, we're looking for – as we do the beta testing, we look to get feedback to understand what the customer, the driver is looking for and how easy it is, what's the user interface look like, is there any friction as you look to turn on the charge for charging? All of these are data points that we are taking back and looking at how do we make sure that once we turn on the charge for charge – and you are correct, Vikram, we would start with our DC fast stations. But once we turn that on, what is that user experience for the driver? And how do we tie that to the app, turning on the authentication, the availability to tie your credit card into the app and everything else? This is everything that we're working through right now.
Vikram Bagri: As a follow-up, the network development revenues increased nicely in fourth quarter. I was wondering, was it driven by product sales? Just to try to understand how sticky these revenues are. And on the same note, gross margins were down a bit sequentially from third quarter. Is that also a function of change in revenue mix, which it seems like was more related to product sales?
Francois Chadwick: You've almost answered again the same questions. Yes, the network development revenue, that has a certain level of seasonality to it. Not a lot of seasonality, I would say more along the lines of its ability to put the stalls in the ground, and certain things, it just happens sometimes quicker. Sometimes it just happens a little bit slower. So, yes, there is a slight difference in the install cadence. That does affect a little bit that network development revenue as it sort of moves from quarter to quarter. And, yes, you are correct, that does have an impact on the gross margin. 
Operator: Our last question today is coming from Craig Shere of Tuohy. 
Craig Shere: Notice the fourth quarter, if my math is correct, was a maybe $29 million operating cash burn before working capital. I'm sure there's still a lot of one-time cash costs, restatements, the ongoing public debut. And I realize this question also relates a little to your non-dilutive financing that you alluded to. But how do you feel about the burn trajectory, the cash burn trajectory versus your liquidity?
Francois Chadwick: there's two parts to that. When I look at the cash burn, I look at the operating expenses and the burn through the OpEx and also then through the CapEx side of things. As I mentioned, with respect to the capital side of things, we have put in place this capital committee that does look at every project and it does look at that spend as it relates to the timeline for the return on that spend. So, feeling very good about that.  As it relates to our operating expenses, what I do is I look at this – been looking at this very, very carefully. We have mapped out what those operating expenses are anticipated to be through 2022 and beyond. And I've installed a significant amount of discipline, financial discipline in matching the actual spend to the budgets. So I feel very, very good that we have in place those controls and those procedures to make sure that the burn, the liquidity burn is well controlled. Also, as I'll go back and mention, Craig, as it relates to the actual CapEx on the stalls, we are in these discussions about the non-dilutive capital. And at the cost of repeating myself again, Craig, with respect to the – once we get these significant portfolio deals in, there's a lot of potential for – and there's a lot of demand for portfolio financing that we're looking at.
Craig Shere: I wanted to go back to the prior Craig's questioning around the station growth shortfall. The thing is, back in June, at your Analyst Day, I don't think the mix of higher cost, higher value DC fast chargers was as large in your mind back then as maybe it is today. So, could you just discuss about the changes in anticipated mix and what that may relate to in terms of installs and expectations? In other words, one would assume with more DC fast chargers in two, three years that with fewer installs, you can still come closer to your original outlook as far as revenues and cash flow.
Francois Chadwick: Yes. Yes, I think you are correct. When we were looking back in June of last year, the market demand has changed, the market need for more DC fast has changed. That is what we're being asked to do. And we're seeing it, it's coming through from our current site partners. It's coming through from our new site partners. And what we're seeing as well is – I want to go back, I mentioned it earlier in my prepared remarks about the land and expand strategy. As it relates to DC, what we're actually seeing is, both in the land and expand, in new sites, they are looking to have DC fast and also level two, depending on the location. As it relates to our current sites, where they may have the level two, they were coming back and saying, hey, can you put some DC fast in because we want to offer the opportunity to the drivers to be able to make a choice about how long they spend charging their car. And honestly, there's just more cars that are needing these chargers. So, I think you are correct as well, with the increase in DC fast, it may lead to a situation where the stalls are – I don't want to say reduce, we are going to hit our store installation guidance. But you are right, it does add more revenue opportunities into any particular store that will make sure – and this is partly why I feel comfortable with our revenue guidance for 2022 that we will hit that. So, the mix is changing due to the demand. And once again, I feel comfortable that, even though the mix is changing, we will meet the guidance that I'm giving.
Craig Shere: Very last follow-up. If my memory is correct that your DC charger costs are about two times the level two, and is Europe going to be more DC focused?
Francois Chadwick: Yes, the DC stalls are approximately two times the level two stores. And that's due to the bill of materials that is actually in the store, plus the installation costs and getting the getting the electricity to the store.  As it relates to Europe, we're seeing a mix, we're seeing a demand as well. So, the level two, the AC chargers as well as the DC chargers. as we look at that mix in Europe, we're going to continue to assess and actually respond to what that demand is. We can offer both and we will make sure that we meet the demand that the market is looking for. 
Operator: Thank you. At this time, I'd like to turn the floor back over to management for closing comments.
Francois Chadwick: Okay. Well, thank you everybody for your time today. I do want to conclude by thanking all of our employees for their contributions to Volta's success, our shareholders for their support and our customers for their commitment. We look forward to providing future updates on our progress as we drive forward through 2022 and beyond. Thank you all.
Operator: Ladies and gentlemen, thank you for your participation and interest in Volta. You may disconnect your lines at this time or log off the webcast and enjoy the rest of your day.